Operator: Good day, thank you for standing by. Welcome to the Q3 2024 Unitil Earnings Conference call. At this time, all participants are in a listen-only mode. Please be advised that today's conference is being recorded. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Todd Diggins, Chief Accounting Officer and Controller.
Todd Diggins: Good morning, and thank you for joining us to discuss Unitil Corporation's third quarter 2024 financial results. Speaking on the call today will be Tom Meissner, Chairman and Chief Executive Officer, and Dan Herstack, Senior Vice President, Chief Financial Officer and Treasurer. Also with us today is Bob Hebert, President and Chief Administrative Officer. We will discuss financial and other information on this call. As we mentioned in the press release announcing today's call, we have posted information, including a presentation, to the investor section of our website at unitil.com. We will refer to that information during this call. Moving to Slide 2, the comments made today about future operating results or events are forward-looking statements under the Safe Harbor provisions of the Private Security Litigation Reform Act of 1995. Forward-looking statements inherently involve risks and uncertainties that can cause actual results to differ materially from those predicted. Statements made on this call should be considered together with cautionary statements and other information contained in our most recent Annual Report on Form 10-K and other documents we have filed with or furnished to the Securities and Exchange Commission. Forward-looking statements speak only as of today, and we assume no obligation to update them. This presentation contains non-GAAP financial measures. The accompanying supplemental information more fully describes these non-GAAP financial measures and includes a reconciliation to the nearest GAAP financial measures. The company believes these non-GAAP financial measures are useful in evaluating its performance. With that, I will now turn the call over to Chairman and CEO, Tom Meissner.
Thomas Meissner: Thanks, Todd and good morning, everyone. Thank you for joining us today. Beginning on Slide 3, today we announced breakeven results for the third quarter. Through the first nine months of the year, net income was $31.5 million, or $1.96 per share, representing an increase of $0.11 per share over the same period in 2023. Our results for the quarter were consistent with our expectations, and we remain confident that our full-year earnings will be within our long-term guidance range. I'll also mention that we provide a graph of the expected distribution of our quarterly earnings and the cost to supplement each quarter, and our quarterly results have been generally consistent with that guidance. Looking beyond 2024, we reaffirm our long-term earnings growth of 5% to 7%, supported by rate-based growth in the range of 6.5% to 8.5%, and a dividend payout ratio between 55% and 65%. As discussed on our previous earnings call, in July, we entered into an agreement with Hope Utilities to acquire Bangor Natural Gas. Beginning this quarter, we disclosed adjusted net income and earnings per share in our third quarter Form 10-Q to reflect the company's baseline operating performance, excluding transaction costs. Through the first nine months of the year, adjusted net income was $32.1 million, or $2 per share. We're pleased with the strong results of the first nine months and believe they reflect strong operational performance, disciplined cost management, and the successful execution of our regulatory agenda. On the regulatory front, Granite State Gas Transmission, our interstate gas transmission subsidiary, recently filed an uncontested rate case settlement with FERC. Later in the presentation, Dan will provide more detail about the settlement, as well as an update on the regulatory proceedings for our Bangor Natural Gas acquisition. Moving now to Slide 4. I'm pleased to announce that we recently published our 2024 Corporate Sustainability and Responsibility Report. As we have emphasized in the past, sustainability is fundamental to our strategy, and I believe this report comprehensively addresses our accomplishments, initiatives, and commitments related to sustainability. We have created a robust sustainability framework that we believe will allow us to navigate the uncertainties ahead and attain our goal of reducing greenhouse gas emissions by 50% by 2030 and achieve net zero emissions by 2050. We continue to make steady progress towards that goal, and to this point, we have achieved an 18% reduction in emissions compared to 2019 levels. I'd like to take a minute to highlight our Advanced Mobile Leak Detection Program, which uses best-in-class Picarro Leak Detection technology to more accurately measure methane emissions from our distribution systems. We initially focused on our Massachusetts distribution system, and the results there showed significantly lower fugitive emissions than what we've been reporting using EPA and Massachusetts Department of Environmental Protection emission factors. We also found that approximately half of our fugitive emissions came from a relatively small number of leaks, which allows us to quickly address and eliminate those sources of methane leakage. Building on our success in Massachusetts, this year we implemented Picarro’s Advanced Mobile Leak Detection technology across all of our natural gas systems to measure, investigate, and mitigate fugitive emissions. This initiative is expected to drive significant reductions in scope on emissions. I'm also pleased to report that we have once again been recognized as one of the best companies to work for in New Hampshire. Employees are our greatest asset, and we strive for a diverse and inclusive workplace where everyone feels valued, engaged, and proud to be part of Unitil. We hope to build on this success as we remain a top employer of choice in the region. The Corporate Sustainability Report contains a wealth of information, and I encourage everyone to read the report and learn more about our ongoing initiatives. Turning now to Slide 5. I'd also like to highlight our Advanced Metering Infrastructure Upgrade, or AMI project, which is now underway. This project will replace a legacy AMI system that has been in service for over 15 years now, and which relied on power line carrier communication to transmit metering information over the power lines. The new system uses wireless radio frequency and cellular communication to allow for media reading intervals as frequent as every 15 minutes. As part of this project, we will replace all the electric meters in our service areas with new state-of-the-art advanced meters. This new functionality will provide transparency to customers regarding their usage and provides opportunities for new rate structures such as time-varied rates. We expect this project will cost approximately $40 million over the next three years. In Massachusetts, the costs associated with this project are eligible for accelerated recovery. We believe this initiative will provide a wide range of benefits to our customers and supports the clean energy transition. With that, I'll now pass it over to Dan, who will provide greater detail on the quarterly and year-to-day results.
Daniel Hurstak: Thank you, Tom. Good morning, everyone. I'll begin on Slide 6. As Tom mentioned, today we announced breakeven results for the three months ended September 30th, 2024. For the first nine months of the year, net income was $31.5 million, or $1.96 per share, an increase of $0.11 per share compared to the corresponding period in 2023. Earnings growth reflects higher adjusted electric and gas margin, partially offset by higher operating expenses. We have also reported adjusted net income and EPS amounts, which exclude the effect of certain Bangor transaction costs recognized in operation and maintenance expense, and as Tom mentioned, do not reflect ongoing operating performance. Adjusted earnings per share was $0.02 per share in the third quarter and $2 per share for the first nine months of the year. Turning to Slide 7, I will discuss our electric and gas adjusted gross margin. I'll begin with our electric operations. Electric adjusted gross margin was $81.7 million for the nine months ended September 30th, 2024, an increase of $1.6 million as compared to the same period of 2023. The increase in electric adjusted gross margin reflects higher distribution rates and customer growth. The company added approximately 1,100 new electric customers compared to the same period in 2023, and as noted during prior calls, electric distribution revenues are substantially decoupled, which eliminates the dependency of distribution revenue on the volume of electricity sales. Moving to gas operations. Gas adjusted gross margin was $115.6 million for the nine months ended September 30th, 2024, an increase of $9.2 million compared to the same period in 2023. The increase in gas adjusted gross margin reflects higher distribution rates and customer growth. The company added approximately 720 new gas customers compared to the same period in 2023, approximately 60% of the company's gas customers are under decoupled rates, and through the first nine months of the year, we estimate the decoupling supported gas margin by approximately $0.20 per share. Moving to Slide 8, we provide an earnings bridge comparing year-to-date 2024 results to 2023. As I just mentioned, adjusted gross margin for the first nine months of the year increased by $10.8 million, primarily driven by higher distribution rates and customer growth. Operation and maintenance expenses increased $1.1 million, reflecting higher labor costs and higher utility operating costs, as well as transaction costs associated with the Bangor Natural Gas acquisition. This increase of approximately 2% in operation and maintenance expenses is below the increase in inflation of approximately 2.4% over the same period. Depreciation and amortization increased $5.1 million, reflecting higher levels of utility plant and service, higher depreciation rates approved in recent Maine and Massachusetts rate orders, and higher amortization of storm costs and other deferred costs. Taxes other than income taxes increased $1.5 million, reflecting higher local property taxes on higher utility plant and service, as well as higher payroll taxes. Interest expense increased $1 million, reflecting higher interest expense on short-term borrowings and higher levels of long-term debt, partially offset by higher interest income on regulatory assets. Other expense increased by $0.2 million, largely due to higher retirement benefit costs. And lastly, income taxes increased $0.1 million, reflecting higher pre-tax earnings. Turning to Slide 9. As Tom previously noted, we recently filed an uncontested settlement with FERC for Granite State Gas Transmission, our interstate gas pipeline, requesting approval by November 25th, 2024, for rates effective November 1st, 2024. The settlement agreement includes an annual revenue increase of $3 million, which represents an increase of approximately 30% to Granite's current revenues. The settlement includes three limited Section 4 step filings over the next three years, totaling approximately $30 million to recover eligible capital costs. This multi-year rate plan will increase rates each September for the next three years, beginning in 2025. We are pleased with the outcome of this settlement, which should provide Granite State Gas Transmission with the opportunity to earn a reasonable return for the next few years. Moving to Slide 10. As we discussed last quarter, in July, the company agreed to acquire Bangor Natural Gas from Hope Utilities, and we are currently working through the regulatory approval proceeding before the Maine Public Utilities Commission. Deliberations are currently scheduled for early February, and we expect this transaction should close by the end of the first quarter of 2025. Bangor Natural Gas is a great complement to our current natural gas distribution operations in Maine. Bangor Natural Gas has experienced strong historical customer growth, and we believe the combination of low penetration rates, cold climate, and constructive regulatory jurisdiction will allow Bangor to continue to deliver affordable natural gas to its customers. We will provide additional updates regarding this transaction on our next earnings call. Turning to Slide 11. Our investment outlook remains strong, and our projected capital spending through 2028 totals approximately $910 million. As previously discussed, there remains additional upside to our capital plan for electric sector modernization projects as we invest in supporting the clean energy transition. Since 2017, our rate-based growth has been 7.9%, outpacing the midpoint of our long-run growth guidance of 6.5% to 8.5%. I'd like to mention the great progress that has been made at our Kingston Solar Facility. In August, site work was completed and facility construction commenced. We expect that the project will be placed in service during the second quarter of 2025. We will seek regulatory recovery upon completion and continue to look for opportunities that provide similar benefits to customers. Consistent with prior years, we anticipate providing an update to our investment plan during the fourth quarter earnings call. Moving to Slide 12, our balance sheet is strong, and we anticipate that operating cash flows, less dividends, will fund the majority of our investment plan with additional financing obtained from a mix of debt and equity. Maintaining our strong balance sheet and investment-grade credit ratings is key to our financing strategy, and we believe our low-risk cash flow generation compares favorably to our peers. In August, we successfully closed on $135 million of long-term debt at competitive rates across Unitil Corporation and all of our utility subsidiaries. These transactions recapitalized our short-term debt balance and reduced interest rate volatility. I'll now turn the call back over to Tom.
Thomas Meissner: Great. Thanks, Dan. Wrapping up now on Slide 13, with nine months behind us, we continue to deliver on our commitments. Our capital plan is progressing as planned, regulatory outcomes remain constructive, and we are earning our authorized returns. Looking ahead, we offer long-term earnings growth aligned with our peers while maintaining a lower-risk profile. We look forward to sharing more information on our strategies, our progress, and our investment outlook on the year-end earnings call. With that, I'll turn the call back to Todd.
Todd Diggins: Thanks, Tom. That wraps up the prepared material for this call. Thank you for attending. I will now turn the call over to the operator who will coordinate questions.
Operator: Thank you. [Operator Instructions] One moment for questions. And I'm not showing any further questions at this time. This concludes the conference. One question. One moment. Our first question comes from Shelby Tucker with RBC. You may proceed.
Shelby Tucker : Yes, good morning. Thank you. Just wanted to maybe break down a bit more the capital spending program by asset class between electric and gas. And then also, as you think about some of the policies that the states have been pursuing in your territories, where do you see the trend going between those two asset classes? Thank you.
Thomas Meissner: I mean, I can -- hi, Shelby. This is Tom. I can probably take the second part of the question. I'm not sure I have the breakdown. But in terms of state policies, I mean, clearly we're seeing a big shift, I think, toward electric from gas. That's especially notable in Massachusetts in particular. Grid modernization continues to be a topic, even in New Hampshire. So we're seeing more of our spend geared towards electric than gas. That will be especially true as we start to finish up some of our pipeline replacement programs on the gas side. So I think, as you know, we completed New Hampshire some years ago. And this year, we will complete Maine. So our system will be entirely modernized in Maine. And realistically, much of our replacement in Massachusetts will be completed during the next five-year time period. So I think we do see more of our capital investment outlook shifting over to the electric side. So I'll let Dan provide any color on the breakdown.
Daniel Hurstak: Yeah, Shelby, I'd agree with Tom. I think when you look at the trend, it'll probably be moving more towards a mix of electric relative to the current mix. We're probably about two-thirds gas, one-third electric for rate base. So the current the short-term capital plan probably reflects that a little bit. There's probably somewhere in the neighborhood of 15% to 25% growth versus maintenance capital embedded in that plan. And when you think about Massachusetts, we have that natural hedge of gas and electric customer base in that state. So as we support the electric sector modernization plan, which we referenced, that may lend itself to a little bit more investment for the electric side in Massachusetts.
Shelby Tucker : So if we think about the 6.5% to 8.5% rate-based growth target, as newer policies come out, is that additive to that number? Or do you anticipate some offsets to keep it in that 6.5% to 8.5%?
Daniel Hurstak: Yeah, I think there is some upside, Shelby, to the policies, particularly in Massachusetts, that a portion of the investments that are included in our electric sector modernization plan are included in that $910 million capital plan through 2028, but a portion are not. So there is definitely upside to the plan for those types of investments.
Shelby Tucker : Great.
Thomas Meissner: Probably also worth mentioning that it does not include any upside related to Bangor natural gas.
Shelby Tucker : Sure. Okay. Thank you.
Thomas Meissner: Great. Thank you.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.